Operator: Good morning. My name is Apra and I will be your conference operator today. At this time I would like to welcome everyone to the GrafTech Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. Ms. Kelly Taylor, you may begin your conference.
Kelly Taylor: Thank you, Apra. Good morning and welcome to GrafTech International third quarter 2011 conference call. On the call today is GrafTech’s Chief Executive Officer, Craig Shular and our Chief Financial Officer, Lindon Roberton. We issued our earnings release this morning. If you do not receive a copy, please contact Marie Nor at 216-676-2160 and she will be happy to fax or email a copy to you. As a reminder, some of the matters discussed during this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Please note the cautionary language about our forward-looking statements contained in our press release. That same language applies to this call. Also to the extent that we discuss any non-GAAP financial measures, you will find reconciliations in our press release, which is posted on our website at www.graftech.com in the Investor Relation section. At this time, I would like to turn the call over to Craig.
Craig Shular: Thank you, Kelly. Good morning everyone and thank you for joining GrafTech’s call today. Today we will take you to our third quarter highlights and then open it up to questions. In Q3 sales improved to $36 million up 35% year-over-year driven by increased volumes in GrafTech electrode and graphite electrode and needle coke businesses. EBITDA was $78 million an increase of more than 45%. Net income increased 55% to 40 million or $0.28 per share. Operating cash flow increased to $47 million. Net debt was $365 million at the end of Q3, 10 million lower than Q2. Turning to segment performance in our industrial material segments year-over-year sales increased 45% to $302 million in the third quarter. The sales increase was primarily as a result of higher graphite electrode sales volume and adjustment of needle coke sales from Seadrift. Operating income for the segment increased 52% to $54 million due to favorable mixed cost absorption associated with higher graphite electrode volumes and the contribution of Seadrift operating income. Improvement in operating income was offset in part by expected increases in raw material cost. Graphite electrode Q3 operating rates came in at approximately 85% up from 80% in Q2. We expect this rate will continue to increase over the course of the year with fourth quarter electrode operation rates over 90%. In our engineer solution segment, we have sales of $43 million and operating income of 3 million. This segment witnessed revenue and operating income in quarter due to weaker demand in the solar and oil and gas industries. Turning to outlook, the International Monetary Fund, IMF has again reduced 2011 estimate for global GDP growth to 4% from 4.3% in their June 2011 estimate. This is slower than expected recovery in advanced economic and the continuation of financial market volatility. The IMF also reduced its 2012 global GDP growth forecast to 4%, down from 4.5% in their June 2011 estimate. Overall the recovery progressing slower than anticipated and uncertainty in globally financial markets is further weighing on the recovery. While downside risk remained the outlook discussed for future recovery is expected to continue. In the fourth quarter, we project graphite electrode sales volume to increase slightly over the third quarter as customers fulfill their annual contract requirements. It is important to note however, that our customers visibility to fourth quarter demand has been reduced due to uncertainty in the global economic environment. In light of the increased business risk we are targeting full year EBITDA to be in the range of 275 million to 285 million. Recapping 2011, we are on track to achieve all time record sales and the second fast EBITDA performance in our company’s history. We completed three excellent acquisitions that has significantly improved our business model. We have integrated the Seadrift, St. Mary’s and Micron Research teams and operations and have been very pleased with the constitution they’ve made to our company. The targeted synergies and EBITDA contribution from these acquisition is on track to meet our original guidance of $90 million. We recently concluded the refinancing of our revolving credit facility. The new five year 570 million revolver represents 310 million increase over the prior facility and extends the maturity date to October, 2016 with improvements in rates, terms and conditions. We have successfully increased our borrowing capacity at very favorably rates which provides us with improved financial flexibility and positions us very well for future internal and external growth opportunities. We are very well positioned to siege the opportunities and confront the challenges of 2012. Turning to 2012, the latest forecast issued by the World Steel Association about 15 days ago has come in cautiously optimistic for 2012. They project more than a 5% increase in steel consumption in 2012. Consistent with macroeconomic projections the association anticipates that the recovery in steel demand will be slower in advanced economies as compared to emerging economies that are today witnessing better growth. Based on WSA and other steel forecasts, we expect solid growth in 2012 in steel production. This would represent a record steel production level in response to global steel demand for next year. We are now in the process of building our 2012 electrode book and as usual, we will provide additional commentary in our Q4 earnings release. That concludes our prepared remarks. Apra, let’s open it up for Q&A.
Operator: (Operator instructions). You have a question from Luke Folta with Jefferies.
Craig Shular: Good morning, Luke. How are you today?
Luke Folta – Jefferies & Company: Fine Craig. How are you?
Craig Shular: Superb, thank you.
Luke Folta – Jefferies & Company: Good. First, congratulations on results in the quarter.
Craig Shular: Thanks.
Luke Folta – Jefferies & Company: If just to be clear, in the purchase accounting charge if we adjust that out, EBITDA in the quarter was somewhere just under $85 million is that correct way to look at it.
Craig Shular: Yes, that’s right. But, a 6 to $7 million purchase price accounting in that.
Luke Folta – Jefferies & Company: And your spot outlook.
Craig Shular: Okay.
Luke Folta – Jefferies & Company: For the guidance, your guidance is 75 to 85 million in the fourth – excuse me, for the full year. If I read the way you’ve written. If you get the slight increase in sales volume that you expect in the fourth quarter. Is that 285 and it’s something which you fall short. You do see downside risk, the potential 275 (inaudible) about it.
Craig Shular: Well, I think the way to look at it is obviously as we’ve gone through this year, each quarter has become more volatile than the past and in general worldwide, most of the economic stats have come in weaker than expected and so the way I would look at it is there is volatility in our customers’ orders. You’ve seen a number of steel customers come out worldwide now and they’ve all talked about Q4 volatility. So, in our guidance is that kind of volatility is built. If orders all come in we’ll be at the higher end of the range and if this volatility continues or it’s a little bit greater, we’ll probably get the lower end of the range.
Luke Folta – Jefferies & Company: Okay. As it relates to the book building process for electrodes in needle coke for next year. Are you able to talk about what percentage of that has been completed at this point for those two?
Craig Shular: Yeah, a very good question and let me frame it this way. Because of all the volatility in the marketplace and what’s going on in our customer base, what’s going on economically in Europe and some of the debt crisis in Europe, our normal book building process I would say is probably 90 days behind a more normal year. Our customers have delayed the request for bidding of 2012. We believe in response to the volatility and lack of line of site that they have. So, the order book for electrodes is getting off to a very slow start and in turn needle coke book building for next year is also delayed and so, I don’t see a company specific impact. I don’t even see specific to the electrode industry. I think all the raw material supplier in this steel industry are seeing that, our steel customers are going slower as they approach 2012 and it’s really a macroeconomic response than anything company or supplier specific. And so, that’s the landscape we face right now. Obviously, from my advantage point, it’s not concerning. I think it’s normal when we look at the macro issues and I would rather approach this in a very orderly fashion as we approach 2012. So, we are on to a slow start. It’s driven by our customers. Net-net as I sit back and look at it though, I would expect next year steel production to be up over 6% over this year.
Luke Folta – Jefferies & Company: Okay. And when you think about the timing of these contracts you’re going to settle. You expected to play out as strategically what were you set on needle coke contracts first and then move onto electrodes.
Craig Shular: Yes, I would expect that’s probably the trends as it usually been. Customers want to know their cost structure before they start making commitments for next year. So, I think that trend will continue and as I said, it’s delayed this year. I think it’s normal given the volatility and the economic macro issues that we’re all confronted that and again I’ll emphasize and I’m not concerned by. I think it’s very normal in the response to what we’re seeing going on in Europe with the debt crises and some of the other political implications around the world and so, we’ll be impatient and we’ll be build I think a book for next year that will represent probably steel production up 5% year-over-year.
Luke Folta – Jefferies & Company: Okay. And then, when you think about how the contracts are going to work for needle coke. She we – are we expecting any deviation from the typical annual fixed price contract and are those prices do they apply to January 1 for all those contracts.
Craig Shular: Luke everything we see right as of now I see gain your contracts. Recall, when we had the start of the economic crises back in the beginning of ‘09, our customer base like to correlate contracts they typically just no line of site. I don’t see that situation as we sit here today and I’m not sharing that from our customer base. So, I’m hearing that they are going to walk annual contract but they are off to slower start just because of their lack of line of site of what next year will look like. So, expect annual contracts and I expect that the price will begin as of 1/1/2012, yes, calendar year contracts.
Luke Folta – Jefferies & Company: Can you just talk more on the needle coke side?
Craig Shular: Same for both. I would expect annual contracts and the pricing starts 1/1.
Luke Folta – Jefferies & Company: Okay. And just one last question and thanks for answering the questions. The supply side situation, can you give us a sense of where you see inventories right now regarding your customer for coke and for electrodes and also are you seeing any pre-buy ahead what looks to be a pretty meaningful price increase for next year.
Craig Shular: We see very lean inventories in our customer in needle coke and in graphite electrodes and I’m speaking worldwide. So, I think from our advantage point there is not a buildup of needle coke or graphite electrode in the supply chain. I think that good news. Buying, I’m sure there is going to be some customers that try that really doesn’t work for us. So, we are not proponent of the line of – we want our contract honored. We want the electrodes taken when they were completed under the contract. So, I don’t expect there is going to be a big buying impact.
Luke Folta – Jefferies & Company: Okay. Excellent Craig, I’ll be back in line. Thank you.
Craig Shular: Luke, thanks so much.
Lindon Roberton: Let me just add to Luke’s question on the pricing effective January 1, it’s all of our book building starting in January 1 will take the new pricing. We do carry some contracts into the first quarter that are booked on annually from 2011 contracts. So, if you are looking to calculate based on price when that starts to lift, just see mixed impact in 1Q and then fall impact in 2Q.
Craig Shular: Yeah, what Lindon is referring to, these are the customers that every year book Q2 to Q2.
Lindon Roberton: That’s right.
Craig Shular: They are annual, but they are budget years Q1 to Q1 and as you all know we’ve talked about many times that’s very, very normal in our business and that’s a portion of what Q1 will be.
Lindon Roberton: Thanks Luke.
Operator: Your next question comes from Michael Gambardella from JP Morgan.
Michael Gambardella – JP Morgan: Good morning Craig.
Craig Shular: Good morning, Mike. How you are doing?
Michael Gambardella – JP Morgan: Good. Can you give us an idea of how much of Q1 would start off with a new price January 1 because I thought years ago I kind of remember EFCO (ph) or Mexican were in kind of on April calendar or April fiscal year.
Craig Shular: Yeah, there is customer around the world that their budget cycle historically for 20 years has been Q1 to Q1. You’re absolutely right Mike. And it varies a bit every year but I would say that carryover might only be 20%, maybe even less customers that do it that way.
Michael Gambardella – JP Morgan: Okay.
Craig Shular: Most of our customers are calendar year.
Michael Gambardella – JP Morgan: And then, how much of a carryover would expect from the fourth quarter volumes to be shift in the first quarter that wouldn’t get a price increase. I’m just trying to get to how much of the first quarter is going to see a price increase.
Craig Shular: Well, I would say based on the 20%, about 80% or 75% you see the increase. And 20 to 25% would carryover and it’s not really a carryover. It’s just these customers had closed the range of contracts Q1 to Q1 because that’s their planning cycle and they have done it that way for 20 years.
Michael Gambardella – JP Morgan: Okay. And then, have you settled anything on needle coke pricing yet?
Craig Shular: It is virtually just getting started Mike. So, I really can’t give any color there. And it’s about 90 days slower start than a more normal year and slower than, much slower than last year and I think it’s just all in response to what we’ve all seen in the last couple of months in the global economy and the political arena and the debt crisis in Europe.
Michael Gambardella – JP Morgan: In the past I though you would not book electrode business until you either booked your needle coke or had a very firm understanding over the needle cook pricing would be for you. now this year do you still have a same strategy even or you have your own needle coke?
Craig Shular: Mike, we have exactly that same strategy. It’s very important for us to understand our cost structure before we starting making commitments for next year. So, we have exactly the same strategy even though we are back in agreed to needle coke.
Michael Gambardella – JP Morgan: And I think on the last call, you said you’re looking at – for needle coke pricing the charge 2,650 a ton which should be about a 65% increase over 2011. Is that still same asking price?
Craig Shular: That’s the same asking price. And time will tell where that finally settles. That really hasn’t gotten underway. And I would expect probably over the next 60 days or so, that really starts to pick up because customers are going to need needle coke. And I think that will pick as we said earlier, probably first and then, after that we’ll really start to get some momentum on the electrode book building.
Michael Gambardella – JP Morgan: And just a last question, in terms of how it normally goes, I mean, Conoco is about three times your size on needle coke and then you are the next biggest guy. Just Conoco basically I would assume that the price for everyone?
Craig Shular: Well, it’s a very global market. You know, so there are producers in Asia, in Europe and the US. I would normally look it at in that way, I think it is very global market and the customers will come to all of the suppliers with their bid request, that’s right about 90 days behind what it would in a normal year. So, that will happen in the next 60 days, everyone will bid and then the customers will tell us what share we got how many tons and production plans will get laid and where and when. And then, after that I would think like the electrode book building will gain some real steam, just because as we said in the earlier call, we don’t see the trade with excess needle coke or excess electrodes. There is always the one-off customer that’s got to buy to a one site. But when you look at the world, it’s a very lean supply chain which I think is a healthy supply chain.
Michael Gambardella – JP Morgan: And how much switching would you see with customers on needle coke sourcing?
Craig Shular: Well, it’s early to tell too early to tell for 2012. I mean, historically you know, it’s price and quality and the value you bring. And if either of those get too far away, then the customer will switch.
Michael Gambardella – JP Morgan: And very last question, seriously. Did you see any mix change in your electrode business or do you expect any in the fourth quarter.
Craig Shular: No, pretty normal. Actually, you know, as I said, kind of recap in this year, obviously recovery has been slower than everyone would like or even anticipate in fact at the beginning of the year. But net-net, you know, record sales for us second best EBITDA ever, I don’t see any big switch in the mix. I like the book that was built this year, disappointed with the price because, you know, as we all talked on our calls, our cost has gone up this year. But as I look forward to 2012 Mike, actually you know, you’re working through with issues, I see global steel probably running about 5% higher production tons next year than this year. And I even see and I’m sure you probably see it Mike, you know there has been a lot of blast furnaces that have been closed or slowed down the last six months. And that’s usually environment where EAF the lower cost producer, the green producer if you will kind of fares even better. So, I don’t know, if total steel does 5% next year improvement and maybe EAF is even a little bit better than that because of the dynamics.
Michael Gambardella – JP Morgan: Okay. Thanks a lot Craig.
Craig Shular: Thank you, sir.
Operator: Your next question comes from Mark Parr with Keybanc Capital.
Craig Shular: Good morning Mark, how are you today?
Mark Parr – Keybanc Capital: Hi Craig, doing okay. Staying dry.
Craig Shular: You know, a wet day here in Cleveland.
Mark Parr – Keybanc Capital: Once again, you know, we never seemed to have and I also wanted to add my congratulations and nice quarter.
Craig Shular: Thank you sir, I’m very pleased with the changed performance obviously three new sets of teenage coming in, great integration, everybody hit their numbers. And you know, we all know the backdrop is a very challenging volatile global economy that we’re all servicing.
Mark Parr – Keybanc Capital: Well, I’ve got a couple of questions here around there. Yeah, you said guidance commentary for the third quarter you called it 70 million to 75 million. And I’m just curious, when you set that, you know, this extra you know, $4 million to $5 million that kind of you know, this cost had seemed to show up in the P&L, additional purchase accounting. Was that $4 million to $5 million in your thought process on the $70 million to $75 million?
Craig Shular: Yeah, that was pretty much in our range. So, that wasn’t a surprise. I think where we came out ahead a bit I think sales came in a little bit better. I think our operating grade and absorption of period cost payment a bit better. And then, you know, the 1,000 of other things that have to happen in the quarter that seemed to deliver on. So, they got shipments out the door, they are lean signal program, they hit some cost savings. So, in this volatile economy, that pains in a lot of things right to meet these numbers.
Mark Parr – Keybanc Capital: Yeah, no, that was very credible, good performance. Curiously, you mentioned in the release you saw the pricing, our realization as a bit, call it less negative, perhaps a bit better. I think if memory serves me correctly that pricing started rolling over in the second half of last year. And so, what I’m interested in, could you give us some color on the sequential pricing between 2Q and 3Q?
Craig Shular: Yeah, I can. I think you know, if we go back to the Qs this year, Q1 probably a slippage of about 7%. Q2 about 7% and then, Q3, I think the slippage is probably only 4% or so. So, slippage is that the negative slippage is getting smaller?
Mark Parr – Keybanc Capital: Yeah, but that’s the year-over-year but I’m wondering if sequentially was this third quarter price realizations, were they higher than the second quarter, I guess, what I’m trying to?
Craig Shular: That came in pretty flat.
Mark Parr – Keybanc Capital: Okay.
Craig Shular: That was pretty flat.
Mark Parr – Keybanc Capital: All right. So things are kind of hanging in there. Is there, would that be your expectation for the fourth quarter that prices would remain flat with the third quarter based on what you got on the book right now?
Craig Shular: Yes sir. So, you know, the point that you made before that do you remember last year that there was a slippage in the second half. So, the year-over-year comps look better 7% slippage now going to only 4% slippage. And then to your point, the sequential yeah is flat. So, you know, pricing held as we build that book, good news is we go into 2012.
Mark Parr – Keybanc Capital: Okay. So, that’s really helpful color. If I had, I could just ask one extra, one more question.
Craig Shular: Please.
Mark Parr – Keybanc Capital: I just like to get an update as far as your expected sea drift to take for 2011 and 2012 if you have, if you can give us some color on what you expect ‘12 versus ‘11 on Seadrift?
Craig Shular: Yes, I can give you ‘11, ‘12, it’s too early, you know, for the reasons we talked before on just the work building did not slow. But ‘11 I would it’s going to be right around 70,000 metric tons to our, you know, what we guided, it could be a little bit less perhaps. So, no surprises there, as expected, that change performed very well. They’re running a very high op level, they’ve delivered to virtually all of the GrafTech locations as well as taking great care of their external customers.
Mark Parr – Keybanc Capital: Okay. So, for ‘12 I think initially the last time to soft discussions we’ve had as you were looking for perhaps to take to increase or take a sea-drift in ‘12. And I heard numbers anywhere from, you know, I think maybe 90,000 maybe a little more than that. I mean, there has been any change in that thought process or?
Craig Shular: No, I’m there I can help. I would say it’s going to be much closer to 70. So, I don’t see a big change next year in our take for sea drift. So, we’ll probably take around 70ish and then the rest will be sold worldwide. So, I wouldn’t expect a big change there, no.
Mark Parr – Keybanc Capital: Okay. All right, that’s really helpful. And congratulations again, good luck on the fourth quarter. Thank you sir, have a good day.
Craig Shular: Thank you, sir. Have a good day.
Mark Parr – Keybanc Capital: Yeah, thanks Craig.
Operator: Your next question comes from Daniel Whalen with Auriga.
Craig Shular: Good morning Dan, how are you today.
Daniel Whalen – Auriga: Doing great, how about yourself.
Craig Shular: Excellent thanks.
Daniel Whalen – Auriga: Great. One of my questions have been addressed. But just helping us frame here, you mentioned a lot of the announced for talents have been on the blast furnace side. But in the occasion of work regard furnaces pretailments and given the inventory levels in the market, just generally speaking if we see further curtailments, how long does it take for the flow to the supply chain and this year volumes?
Craig Shular: You know, I would say, when you see like in the middle has announced a number of curtailments, a lot of them are in Europe in response to what’s going on there of the economy and the debt crises. But when you see that, I would say, depending on where the customer in the annual cycle, you know, if he’s doing those in the second half or in Q3 or Q4, probably his adjustment will come and what he orders the next year. So, think of it, it could be you know, three months to six months before we see any difference right. And like this year, I think those customers they have had some curtailments I think they’ll probably take the electrodes that they’ve ordered this year and then next year they may take a few less.
Daniel Whalen – Auriga: Okay. And then, in the engineered solutions so, again, you mentioned that the solar in oil and gas in the quarter, what do you kind of seeing so far where you stand today in terms of trends on the solar side.
Craig Shular: We see a slowdown in solar. I think many solar accounts have announced it. And so, we see that continuing, some of it in the face of some of the European solar subsidies that some of those governments are reassessing etcetera. So, what I see in Solar is probably the next two quarters, three quarters probably is going to be softer. But after that talking to a lot of solar customer I think we’ll start to see improvements and we start to see that sector continue to come back and grow. So, I think we’re probably got two or three quarters of softness in solar. I think they’ll be a shaking out a some of those solar players, some are much lower cost better run than others. And then, probably in three quarters from now we start to see solar doing a little bit better.
Daniel Whalen – Auriga: Great. And then, I suspect on the oil and gas side, I probably this is just more of a pause and a quicker recovery.
Craig Shular: That’s correct. That’s correct. I see oil with continuing recovery as our outlook. And I think, you know, the majority of the outlook is out there for next year slower than everybody would like or expect it. But I see next year probably greater demand for steel and greater demand for oil.
Daniel Whalen – Auriga: Great, thank you.
Craig Shular: Thank you Dan, have a good day.
Operator: Your next question comes from Wayne Cooperman with Cobalt Capital.
Craig Shular: Good morning Wayne, how are you doing?
Wayne Cooperman – Cobalt Capital: Good. How are you? I guess, it’s more of a follow up for lesson. But if you start to see like iron ore prices really go down a lot. And scrap not. At what point do you see guys shut down electric arc furnaces instead of the blast furnace, I’ve heard of that, just never happened.
Craig Shular: Well, in general, if you go back to last 20 years, there has been very few points where the blast furnace really had an advantage over DAF. So, Wayne I think the right way to think the right way to look at it is, if we have that it’s relatively a short period, it’s temporary. So, I think in general what you see is – they look at their blast furnace collection. And I know that we all know these blast furnaces well, the analysts know well. There is a lot of them that are very, very old and they’re high cost. And we see these same ones. Whenever there is a slowdown these same one is getting closed. And the same ones are really not getting a lot of CapEx, they are not getting much environment investment etcetera. It’s something we watch very closely Wayne. But what we see so far is a number of blast furnaces getting slowdown or shut down. And then on the EAF side, obviously some get slow and shut down. But what we’ve seen so far is much smaller shut down activity on EAF. And then, parallel to all this remember, there is still new EAF going in the ground. And so, there has been a healthy component each of the last five years going in the ground he can’t let quite well in our queues. And that continues. So, any time that cost curve, you know, we’re blast, we do it a little bit better because scrap hasn’t rash it down yet. We see as very short term and I think our customer does also. So I would look with this cost fees that in the excess field that a lot of the stupid are talking about more would primarily impact blast. Wayne any other questions.
Operator: And the next question is from Tim Haze with Davenport & Company.
Craig Shular: Tim, how are you today. I’m fine, how are you Craig?
Tim Haze – Davenport & Company: I’m fine, how are you Craig?
Craig Shular: Excellent thank you sir.
Tim Haze – Davenport & Company: Good, good, two questions. First, you mentioned that the needle coke contracts are say 90 days behind the normal schedule. Is that for yourself as well in terms of rocketing contracts from your needle coke suppliers or have you already locked us in?
Craig Shular: We’ve sent it for the whole industry. Everyone has gone slower this year because of the lack of visibility. So, it’s a macro driven item versus company specific or even raw (inaudible). So, our cost structure our needle coke sales all of that is off to about 90 day.
Tim Haze – Davenport & Company: Okay. And then, second question on the (inaudible) that was posted?
Craig Shular: Yeah, that’s right. What you saw there, that was an increase over the prior pricing that we had. So, you saw a kind of the latest price that we have posted.
Tim Haze – Davenport & Company: Yeah I thought that was an interesting given all the macro weakness and all the negative headline that you are confident enough to increase prices on September 1. Anymore color on why you felt comfortable to do that?
Craig Shular: Well, remember behind that, a lot of that cost structure is oil dependant. And you know, if you follow that market, you got pent up – so oil has remained high and any time it’s had a dip it’s been short lived. So, Tim that’s been driven really by oil which feeds the – key raw material in the needle coke and needle coke is about 45% to 50% of the total cost of the graphite electrodes. So, Tim it’s driven by that cost pressure.
Tim Haze – Davenport & Company: Yeah, that’s all I had. Okay, thank you.
Craig Shular: Okay thank you sir. Have a good day.
Operator: Your next question comes from Chitra Sundaram with Cardinal Capital.
Chitra Sundaram – Cardinal Capital: Yeah couple of questions that I had (inaudible)?
Craig Shular: Yeah. Let me toss that over to Linda and Chitra thanks for your question on FX.
Craig Shular: Yeah. I would say that the pricing didn’t have an impact sequentially as Craig mentioned earlier, so you saw the Emacs there. Our management thinks on a year-to-year basis the friendly button on the pricing. To correct a couple of thoughts from the questions, the cost is where if you look at her parents coming into the fourth quarter, or cause came in and did better and this is really reported a better-than-expected operating absorption benefits. So our operating rights came in on track with what we had projected, we are very pleased with the operating rates of our Tech talk plans and cost of work containment a little bit better. The second point is that there was a question earlier that purchase price accounting and tax that we had dated, and sometimes we hear a little bit of confusion on this point, the purchase price accounting very predictable and that came in exactly as has been predicted. We had referenced in our guidance and the company profit elimination impact of possibly 2 to 4 million this quarter. And that came in wider and what that reflects is that we are now seeing a level of sea drift consumption inside our electrodes and since that was in continuing to increase from the quarter to quarter, we didn’t see an increase in that cost elimination. And so we had a little less impact that done what we anticipated. So that cost absorption and now the secret integration is completely behind us in more than a normal level that cost was a bigger impact to our margin in the quarter versus our parents. I think year-to-year basis the pricing impact certainly continued this gives our margins.
Chitra Sundaram – Cardinal Capital: Okay, that’s great. Craig just going through the fourth quarter, I guess I’m confused if we’re – averaging slightly better rates than the third quarter and I think (inaudible) to correctly, potentially exciting fourth quarter at or above 90%. It’s not – how we will end up having to bring down the EBITDA guidance for the year I know albeit it’s –?
Craig Shular: Well, remember Q4 with our guidance will be our best quarter of the year so that starts with that so that will be our best quarter. But let’s look at the volatility in the macroeconomic picture. So Europe has gone through some tremendous events in the last three, six months we’ve had a number of customers announced shifts in their production levels and shut their plants and so we felt it’s just prudent to open up the guidance given this volatility. Our customers line of sight, I would say is very, very short right now. Their order books are assured of the ante where two months ago and so given the lack of line aside, I think it’s prudent for us to open up and acknowledge that gee, there is an awful lot of volatility that has increased into this marketplace and Europe is a big part of that and the debt crisis there continues to play out over the next couple of months.
Chitra Sundaram – Cardinal Capital: What gives you comfort then that we might exit Q4 at 90%? It sounded like that is something that is almost inevitable, is that just because people are filling out their order – whatever it is that they have scheduled to order for the year, is that why?
Craig Shular: That’s correct. So very good question. We said Q3 we run at about 85% up level. We accepted the last month of Q3 at 88% up level. So we feel very comfortable will be 90% plus over the course of Q4 and you are spot on Chitra, its contracts we have in hand. So its orders to be filled and customers are completing their annual requirement orders. Obviously there is always some risk around that in this volatile markets, but we will bite into that guidance range that we gave.
Chitra Sundaram – Cardinal Capital: But could we have a situation where you will end up having to offer that you do, but for whatever – is there something in the mix that causes absorption to deviate from the utilization profile and that’s what causes EBITDA to be at the lower end or whatever – I am just trying to understand is how the range goes down, that’s all and am wondering if – mix thing?
Craig Shular: The range can go down obviously, that ES business just seem slow down, so there is that one. Two, our still customers how very limited line of sight to Q4 here we are virtually November and then a number of our customers around the world are shuttering blast furnaces and in some cases also EAS. So there is a lot of moving pieces and then all of that and on top of that the European debt crisis continues.
Chitra Sundaram – Cardinal Capital: Okay.
Craig Shular: Negotiations every day in the paper et cetera. So even that’s not quite settled yet. So in that backdrop, we just think it’s prudent to open up the range.
Chitra Sundaram – Cardinal Capital: Okay. Should I assume you from your comments that the needle coke operations have continued to be at full capacity utilization or has there been a deviation?
Craig Shular: No, it’s (inaudible) run and full out. So that team has done a great job of running full out there and our expectation is that next year still will produce five times more than this year and so needle coke will be needed and more electrodes will be needed.
Chitra Sundaram – Cardinal Capital: Yes. Would you be able to just identify what the revenue contribution, I think some of this is probably the last set of full quarter of the Sea drift and CG coming into the numbers. Would you be able to just how much mass acquisition related in the revenues?
Craig Shular: Yeah, we haven’t guided the breakout of our acquisitions. What I can assure you is what we’re seeing is we’ve seen a terrific utilization of these accusations and serve what you’re seeing is as Craig just mentioned, say drift at full production at St Mary’s plans, fully utilized (inaudible) that they’ve acquired even tea emporium planned on the engineering solution side, we made complete use of the capacity of the assets there to facilitate some of the furnace requirements that we had for the engineering solutions space. So is the effectively is contributing and when we looked at the synergies, we are right on track with what would have anticipated when the acquired these.
Chitra Sundaram – Cardinal Capital: Yeah. And just lastly, you have a sense of – or do you have data to share on how the graphite electrode utilization is appeared to clients, I just sort of much of October (inaudible) or is that something you can’t comment on?
Craig Shular: Yes, I shed the first month of this quarter Q4 was at – I’m sorry, the first one we were already at 88, so we’re already at 88. I have every confidence you’re going to be about 90% for the quarter, Chitra. So that is already set up, locked and loaded, those operations are running well. I mean the only thing that is going to deviate that if you had some and expected to outpace and that’s not be in our history. So I feel good we’ll be 90% slush in our electrode facilities in Q4 and that will allow us to meet our customer’s orders and finish up their annual contracts for 2011.
Chitra Sundaram – Cardinal Capital: Yes. Thank you so much and congratulations again.
Craig Shular: Thank you, Chitra. Have a great day.
Chitra Sundaram – Cardinal Capital: You too.
Operator: Your next question comes from Saeed Sedick with Gabelli & Company.
Craig Shular: Hello Saeed, how are you today?
Saeed Sedick – Gabelli & Company: Good. Good morning.
Craig Shular: Good morning.
Saeed Sedick – Gabelli & Company: And again, congratulations.
Craig Shular: Thank you, sir.
Saeed Sedick – Gabelli & Company: Couple of questions. One, you mentioned that your take on the needle coke was about 70,000?
Craig Shular: Yeah. We’ll take about 70,000 metric tons this year and then as the other gentleman as, it could be in 90 and I wanted to make sure that he was on that assumption and IT next year will be very close to 70,000 also.
Saeed Sedick – Gabelli & Company: Okay. And I understand that you are running at full capacity are right with the Sea drift and is the capacity hundred 160,000?
Craig Shular: Yeah. It depends on mix, they make a couple of different products, so depending on mix it can be 140ish or so. Remember we’ve been doing a lot of work on quality and productivity there. So mix can affect its and then the work we do on quality and productivity sometimes require a bit of capital or adjustments of equipments so we have to stop acumen. And so that can also impact it. So I think if you think seed that can do steady state of good solid around 140, if we don’t encourage things and everything goes perfect, 150ish, so 140ish, those are probably good numbers.
Saeed Sedick – Gabelli & Company: And is CG electrodes on top of that?
Craig Shular: Yes. That’s a completely different business, so the 140 am talking about is just needle coke and then St Mary’s is electrodes. And St Mary’s you recall some of our synergy items there and we’re removing graphite electrode pins that they used to make down to our dedicated pin facility in Mona vie, or that’s been done and St Mary’s has accomplished that very, very well, very pleased with that teams. And in fact that team in Q3 one of the months in Q3 broke all-time single month production records. So the facility is running full out and eating up Lean, Six Sigma and productivity improvements.
Saeed Sedick – Gabelli & Company: Okay. And as a company, how much do you – what percentage of your niece to you take from Sea Drift (inaudible) take from Sea Drift?
Craig Shular: Well, we take 70,000 metric tons and that we don’t, as a point of guidance, talk a lot about our other suppliers or our needs et cetera. And so it’s not an item we give guidance to, Saeed. So I would say that if you look at our capacity, we can do a good 230, 240,000 metric tons of electrodes in capacity, those kinds of numbers. And it’s one ton needle coke for one ton of electrodes. So think of it at that price. So 240ish capacity, 230ish mix of course plays into that and we’re taking 70 from Sea Drift.
Saeed Sedick – Gabelli & Company: Okay. And my next question is actually owned and competitor of years that’s been talking in media, SGL Carbon, there were a couple of companies, I think BMW and Volkswagen, they were interested, I believe for carbon composites products. What’s your take on that and also – from a strategic perspective, was – how much do you have in terms of carbon composites or anything else that you can add to that?
Craig Shular: Yeah, I really can’t comment on SGL or their developments, obviously like you said there’s a lot of things in the press, so I really can’t comment on that, I don’t have any comments on that. But as far as ourselves, no, we do not have any kind of significant carbon composite business today. But having said that, we have an awful lot of carbon composite history and technology in our company. And in fact carbon fibers in the United States where first developed in our R&D facility here in Parma and 30 years ago that business was sold by our prior owner. So we are not in the business today, but we have a rich history and knowledge base and skills in that sector.
Saeed Sedick – Gabelli & Company: Okay, great. Thanks for your answers.
Craig Shular: Thank you, Saeed. Have a good day.
Operator: Your next question comes from (inaudible) Cobalt Capital Management.
Unidentified Analyst: Hi Craig. First, congrats on nice quarter.
Craig Shular: Thank you, sir.
Unidentified Analyst: Absolutely. I’m curious if you’ve been getting pushback from customers on the posted price is still published our all given the 90% utilization rate you talked about whether you’re finding it easier to achieve those posted prices without discounts?
Craig Shular: Well, good question. The first point, scaled very early in the game but second point, customers always pushback on price increases. So our challenge is to really show them what we’ve got on cost, the impact of oil, the feedstock into the ultimate cost of graphite electrode and demonstrates them what’s happened to the course profile as well as the service and value you bring. So customers always pushback.
Unidentified Analyst: Fair enough. Great, thanks.
Craig Shular: Thank you, sir. Have a good day.
Operator: Your next question comes from Charles Bradford with Bradford Research.
Craig Shular: Good morning, Chuck. How are you today?
Charles Bradford – Bradford Research: Good. How are you?
Craig Shular: Superb. Thank you.
Charles Bradford – Bradford Research: Just a couple of simple questions. Are you seeing much of a change in the technology and the EAF level as far as usage of electrodes? There had been a big push a few years ago to DCs, you seems to have acquired (inaudible).
Craig Shular: Yeah, Chuck, we don’t see any major changes on that front and then on the DC furnaces, you’re right. If you go back on seven years or so, there was a push and that and that 78 years ago a lot of people said, oh, this is really going to become the way and what do you seem like you said, yes, and DCs get put in, but the growth rates of DCs are really, really slowed. So we see the typical AC furnace, the bread and butter of the industry, we service both, more than delighted to service both, but we see AC furnaces 24/110 some super-size 28, 30 inch electrodes is kind of the bread and butter of the industry and we don’t see any significant changes there.
Charles Bradford – Bradford Research: One of the larger steel companies in the US, which is not being an electron or an EAF producer has turned about babysitting one or more plans of the years to EAF. EAFs being US Steel. Have you seen any actual movement in that direction by them?
Craig Shular: Well, I really don’t want to comment on any one of my customers,, it’s probably best to pass him. But the number of customers worldwide clear point have studied very hard EAF and especially customers that have solely been in BOF integrated steel. And so as a trend, I’ve seen a number of steel producers worldwide including China analyze, request help, ask us to join some studies and I see a number of blast furnace customers are really evaluate should they put some EAFs in,, does it give the flexibility, doesn’t help them with their carbon footprint, does it help them be lower costs and be nimble. So Chuck, I see that’s probably a continuing trend.
Charles Bradford – Bradford Research: Because it seems pretty clear that the emissions of carbon are maybe a third as much with the EAF compared to a BOF.
Craig Shular: That’s right.
Charles Bradford – Bradford Research: That even the Chinese seem to be working in that direction, but haven’t seen much actually done so far it’s in mostly talk. And then the other issue is Northern Japan where you had the earthquake and the tsunami, there was a lot of talk about rebuilding quickly, have not seen much of it because that would be mostly electric furnace steel that would be used. Have you seen much in that activity area?
Craig Shular: What we see is in front of the government the last couple of weeks and continuing this week are significant reconstruction process. So what we see it’s underway in the Japan government, they’ve got (inaudible) and projects, the Japanese government is (inaudible) through that. And what I would expect over the next several weeks, they’ll come to conclusion on a very large significant reconstruction program for the Northern Japan and that will get underway and that will be part of that year over year steel production increase in 2012 that we’re expecting. So I think that could be a nice add to the 2012 steel production.
Charles Bradford – Bradford Research: A final question. The Russians had at one point talked about building an number of mini mills, but I haven’t had too much about that recently. Have you seen any developments, completions or plans almost ready to go which should be electric furnace-based?
Craig Shular: We see a number of customers studying, dialoguing, Russia has a good scrap reservoir, so over time I think we’ll see that come, Chuck. Obviously today’s macroeconomic environment has caused a lot of those things to the kind of paused. But trend (inaudible) we see more EAF growth in Russia.
Charles Bradford – Bradford Research: I was pretty clear that service (inaudible) do the Columbus plant has really learned a lot about EAF usage.
Craig Shular: You’re right. I think that was one of the synergy they saw in that acquisition. And they are going to pick that back to the Russian market and make a lot of EAF steel there someday.
Charles Bradford – Bradford Research: Thank you very much.
Craig Shular: Thank you, Chuck. Have a good day.
Operator: Your next question is from Luke Folta with Jefferies.
Craig Shular: Hey Luke.
Luke Folta – Jefferies & Company: I have a quick follow-up.
Craig Shular: No worries.
Luke Folta – Jefferies & Company: Just on the internal (inaudible) next year, your strategy to use 70,000 tons, is that – does that anything to do with Conoco’s (inaudible) agreement you have them and how much you’re able to use? Or is it just about the kind of rights you want to use on an annualized basis going forward?
Craig Shular: Well, on a normalized basis what we’ve said is, gee probably I don’t want to get above 100 or so, 90, 100. We don’t want to become overly dependent on any single coke around the world because it’s so fundamental for the business and as long as the sell-out sea drift, I mean the economics are the same. So think of next year (inaudible) probably be around 70, the balance will sell in the global market and I think it gives us great business risk the best education. And so in reference to the Conoco contract, no, that’s just one of our suppliers, obviously gets factored in, but it’s one of many variables. I don’t see that as the main driver at all.
Luke Folta – Jefferies & Company: Okay. And then given that sea drift has historically kind of been the marginal supplier of needle coke to the market, is it unreasonable to assume that if we end up in a sold-out position for coke next year that he might actually end up getting a better price for sea drift and what you may be paying on Conoco?
Craig Shular: Time will tell. You’ll have to evolve, that’s a possibility, if you just do the numbers and the economics, it could be depending on the market and the timing and all the bookings billed. So that’s a possibility, yes.
Luke Folta – Jefferies & Company: Okay. Just last one, just on hedging, when you think about your strategy on hedging, your (inaudible) input for your procedure next year? I’m just trying to understand you get some byproducts, you get some protection because of the byproducts, so there’s a natural hedge built in, but then outside of that, are you going to be hedging, as she signed contracts, you’re going to be putting had just arrived at that point for each individual contract is sign or how do I think about that?
Craig Shular: Yeah. You’re pretty close to the way we work and so we have (inaudible) but then we also have some byproducts. So the heads that exposure and we like to stay very closely heads toward the actual net exposure is on our books. So it’s not contract by contract, but it’s pretty close to that. And so you saw this year oil moved all over the place this year and be a really were well protected and hedged against that. Our goal would be to do the same thing next year that we take that volatility out of four numbers and we enjoyed the operating margins of that business rather than getting whipsawed with spot oil prices.
Luke Folta – Jefferies & Company: Right. Okay guys, thanks again.
Craig Shular: Thanks Luke. Have a good day.
Operator: Your next question comes from Mark Parr with Keybanc Capital.
Craig Shular: Hey Mark.
Mark Parr – Keybanc Capital: Hey Craig, thanks for the follow-up.
Craig Shular: No worries.
Mark Parr – Keybanc Capital: First question on solar. In other is a couple of competing technologies out there, one is probably silicon-based, the other is cadmium thyroid, just curious if there’s – if you have any greater exposure to either one of those technologies?
Craig Shular: Our exposure would be great to the silicon solar avenue. So the thin film like first solar, we would have virtually no exposure. Canada, the main part of the market, which is the more productive conversion of solar energy, which is the solar silicon cells, which is most of which in the marketplace, that would be our main market.
Mark Parr – Keybanc Capital: Okay. That’s helpful. I had another question just in general and there’s been a little commentary about the shortfall in the ES profitability in the third quarter, and say relativity where the profit momentum had been a earlier in the year. And I am just curious if you could give us a little more color on perhaps what other growth opportunities, what other products categories would have a an opportunity to perhaps offset more of the downdraft and profits that you have seen their to date and also if you have any comments about how you really see the bottom of the solar and the oil and gas downdraft that you saw in the third quarter, could we see further the duration there over the next several quarters before it bottoms?
Craig Shular: Yeah. The ES slowdown and the lover profits is directly related to what’s going on in the global economy, so you see in solar and it got some segments of the business in chemicals and broad industry, general industry where some of the segments oil and gas, they’ve got some transportation segments and what we’ve seen in virtually all of those has been a slowdown. The bright spot in their portfolio has been advanced consumer electronics, primarily the smart phone segment. But other than that most of the segments, not company specific, but macroeconomic related have seen a slowdown. I don’t know where the bottom of the piece, I think in Q4 can be slow also, it’s one of the reasons we ponder for guidance. I think (inaudible) carrying next year as the global economy is kind of work through this and the EU debt crisis works through this and serve I don’t know yet, Mark.
Mark Parr – Keybanc Capital: Does this ES have significant amount of its sales are a disproportionate amount in Europe or is it primarily a US based business?
Craig Shular: No, it’s global. So it’s feeling Europe, I mean there is some LED lighting, thus automotive and you have seen all the auto companies have really guided lower on European activities. So LED lighting, solar, oil and gas, chemical, basic industries, transportation, we’ve seen all of those that are slowdown in to different extents. So I think we are going to continue to see that in Q4, it’s built into the guidance to everyone and I think it could carry into the first part of next year. I think some of its EU related, I think the EU consumer and project that we are under on the table have all really been slowed down given the situation in Europe.
Mark Parr – Keybanc Capital: Okay. Anything on the horizon that could offset this macro exposure?
Craig Shular: Well, obviously they continue to work on new technologies and address consumer electronics continues to go nicely, so smart phones, the intelligent pads and what not to the extent those continue to grow nicely, that can help. But I think we’re probably in a period Q4 can go right into the first half of next year, ES can feel some slowdown. His general macroeconomic related.
Mark Parr – Keybanc Capital: Okay. Thanks for the additional color.
Craig Shular: Thank you, sir.
Operator: Your next question comes from (inaudible).
Unidentified Analyst: I just wanted to ask considering what’s going on kind of this lag in setting things contract wise for next year, I mean just logistically, I mean is it reasonable to expect that with the holidays coming up after they are and you know the time that we have between now and the end of the year that things could actually go into next year before you got all your contracts settled?
Craig Shular: There could be some of that but I think what will cause it to move along is that the supply chain is quite lean now. And so you’re going to get to a point here in a December, January and we are globally customers need to secure their raw materials. So as I mentioned a couple of times, it’s not just electrodes, many of the materials that our steel customers require, they are just going slow on because of the global economic picture. So I would expect probably December, January this will move quickly and a lot of it that speed will pick up just because the supply chain is lean for needle coke and for electrodes.
Unidentified Analyst: So – I guess (inaudible) so have you seen in your own kind of customer order patterns through the third quarter and maybe starting here in the fourth quarter that there was this full-back and our customers have kind of found the new level of inventory that they are going to go with or there’s kind of this expectation because the idea that these guys are all announcing blast furnace shutdowns and slowdowns and the Hart Senate race saying that they are going to be slowing down, it doesn’t sound like there is a particular leanness necessarily on the way in if the man’s slowing as much as certain things imply.
Craig Shular: Well, recall lot of those closures and they’ve been quite significant have been blast furnaces. So sizeable quantities of blast furnace steel around the world, a lot in Europe, has been shuttered. I think there’s going to improve the economics of my customers. And some of the customers have come out and when they’ve articulated it, they said gee, I’m going to shut down a number of my health class facilities and they’ve (inaudible) three, four, five blast furnaces and then what they’ve said in the same release counts the same conference call, but the rest of my portfolio I’m going to run at a very high operating rate because it’s much better for my cost structure and so I’m going to run my lower cost facilities. And (inaudible) that was our point that EAFs will probably benefit a bit out on this process, I think it’s probably good for my customers, I think it’s good for their economics and probably they’re costs facilities, which then the EAF could run at a higher operating rate. And so I think all of these changes are talking about is another reason why they’ve just gone slow in lining of the requirements for next year, they just got our lives their portfolio and their portfolio is kind of a moving target here in the last 60 days.
Unidentified Analyst: Got it. Okay, thank you.
Craig Shular: Thank you (inaudible) have a good day.
Operator: Your next question comes from Wayne Cooperman with Cobalt Capital.
Wayne Cooperman – Cobalt Capital: I remember my other question, it was just about China and the scrap supply they are and what you’re seeing happening there.
Craig Shular: Well, at the state level, China has been slowing down here of recent and remember China is 90, 91% blast. So if you follow it out the last few months individual blast furnace steel producers there have been announcing specific blast furnaces, we’re closing these two.
Wayne Cooperman – Cobalt Capital: I was curious what you’re seeing on their development of a scrap reservoir and any building up of AF furnaces there?
Craig Shular: Well, the trend for scrap for them has been very, very strong the last five years and Wayne, that’s been propelled propelled by things like the emergence of their auto industry. So here they sit today as the largest manufacturer of automobiles in the world. And five years ago, relatively small participants, here number one. So there is scrap reservoir has been making some very, very nice strides the last five years. We expect that to continue, Wayne and their drive on environmental issues, et cetera, I think will continue to grow EAF there and what’s only 9% of steel in China today for EAF will march and I think at some point here in the future we’ll look back and it will be 13% of steel, not unlike all the other countries that gone through the development process.
Wayne Cooperman – Cobalt Capital: All right. Thanks.
Craig Shular: Thank you sir.
Operator: And there are no other questions at this time.
Craig Shular: All right. Much appreciate your attendants on our call, look forward to talking to you early next year when we go over Q4. Thank you everyone, have a great day.